Jeffrey Spittel: Hello, and welcome to FREYR Battery's First Quarter 2024 Earnings Conference Call. With me today on the call are Tom-Einar Jensen, our Executive Chairperson; Birger Steen, our Chief Executive Officer; Oscar Brown, our Chief Financial Officer; Jeremy Bezdek, Executive Vice President of Corporate Development and President, FREYR Battery U.S. 
 During today's call, management may make forward-looking statements about our business. These forward-looking statements involve significant risks and uncertainties that could cause actual results to differ materially from expectations. Most of these factors are outside FREYR's control and are difficult to predict. Additional information about risk factors that could materially affect our business are available in FREYR's S-1 and annual report on Form 10-K filed with the Securities and Exchange Commission, which are available on the Investor Relations section of our website. 
 With that, I'll turn the call over to Tom. 
Tom-Einar Jensen: Thank you, Jeff, and welcome, everyone, to this first quarter 2024 earnings call, FREYR's 12th earnings call since we went public on the New York Stock Exchange back in July 2021. When we launched our mission to become a global champion in clean battery solutions, we advocated that deep electrification would happen across the board, and we particularly emphasized the massive growth expected in the ESS segment with LFP batteries. It is interesting to look back on our market predictions from back then, which were notably higher than most other estimates at the time and see that the development in battery deployment is well in line with our predictions. 
 As per the recent International Energy Agency report, the storage market continues to grow exponentially and is exhibiting the benefits and added momentum from established and emerging structural growth drivers such as renewables proliferation, electrification of everything, but also now the AI and crypto on the horizon. We believe this market will continue to surprise on the upside, and we are very well positioned to play a significant role in it. 
 Against this backdrop, we have made significant progress behind the scenes this quarter on augmenting our technology strategy, evaluating, maturing, rejecting and pursuing value-accretive deals, refining further our end market focus on ESS and commercial mobility and preparing to fund a build-out of our presence in the U.S. battery value chain through our Giga America efforts. 
 As a listed company with no debt, a strong balance sheet and valuable assets, we are increasingly being recognized as an industrialization partner of choice, and our optionality is strong and increasing. Our dual strategic approach on technology has been to develop next-generation technology development through the 24M platform and complement this through securing rights to build, own and operate conventional top-tier technology currently penetrating the accelerating markets. 
 Birger and the team will take you through the details of where we are on this journey, but I'm very excited about the significant progress we have made through our highly professional and dedicated people on both sides of the Atlantic. During the quarter we are in, we expect to move from an aspiring battery company to a battery-producing company with strong optionality and top-tier technology partnerships in the making. 
 Despite the enormous complexity of bringing a novel cell production technology to scale, I am very proud that our teams and partners have solved a majority of the remaining challenges in this world's first production platform at gigawatt hour scale. We are now in the home stretch of fine-tuning and aligning the highly complicated machinery to enable production with the full automation of the next-generation casting and unit cell assembly later this quarter. When this happens, we will be in a unique position with one of the very few U.S. IP-based battery technologies at a scale not yet seen in operation. As for every battery producer, we will face multiple new challenges as we ramp towards test production, but we will deal with them and communicate accordingly. 
 Turning now to Slide 4. We have furthermore strengthened our Board of Directors to maximize shareholder alignment and value creation through the appointments of Todd Kantor, Tore Ivar Slettemoen and David Manners. We are deeply grateful and honored to have our largest shareholder, our original founder and a distinguished U.S. intelligence officer with unique geopolitical and public affairs expertise join FREYR's Board. These gentlemen each bring decades of experience across the global capital markets and energy sectors, and they are aligned with you as fellow shareholders in our business. Furthermore, their dedication to our journey is already supporting accelerated development for the company while we safeguard our financial position and strengthen our optionality for a highly dynamic and exciting future. 
 On behalf of FREYR's Board of Directors, I would like to extend our appreciation and gratitude to our investors who, despite the challenges, have continued to believe in us. We relentlessly continue our pursuit of becoming a clean battery manufacturing company in the Western Hemisphere. This is a tremendous challenge and not without heartache, but we are very close to material breakthroughs, and I promise you that we will not rest until we have become a force to be reckoned with in this industry. 
 With that, Birger, I hand it over to you. 
Birger Steen: Thanks, Tom, and welcome to everyone joining today's call. Turning to Slide 5. Let's begin with our key messages from today's release. Although we had a quiet first quarter of 2024 in terms of formal news releases, our teams have been diligently working several exciting opportunities behind the scenes while we continue to approach our most significant milestone to date at the CQP. 
 Let's start with our progress on the CQP. Thanks to the efforts of Mike Brose, his team and our valued partners at the Asset Mo, we continue to expect that the first unit cell production trial with the full automation of the CQP's next-generation SemiSolid casting and unit cell assembly will take place in Q2 2024. 
 Turning to our Board of Directors. As Tom just mentioned, we were delighted to welcome 3 seasoned professionals to our Board in recent weeks: Todd Kantor, Tore Ivar Slettemoen, and David Manners. Third, as I mentioned earlier, our business development and commercial teams have been busy evaluating and pursuing opportunities across the globe. As Jeremy will detail shortly with an update of our FREYR 2.0 growth initiative, we've streamlined our project and new pipelines to focus on the initiatives that align with our objective to accelerate our path to market and with a view to generating positive operating cash flow as quickly as possible. 
 And finally, in the prevailing interest rate capital markets and industry environment, cash is king, and we remain focused on preserving and deploying your precious capital to generate shareholder value. We'll hear from Oscar shortly about our commitment to maintaining strict capital and cost discipline while we build our business and advance our capital formation process. 
 Moving to Slide 6. Let's dive into our continued progress at the CQP. There's no change to our prior expectation to commence automated unit cell production with the full functionality of the casting and unit cell assembly in the second quarter. Preparation for this key milestone, the teams have been focused on the complex and delicate process of integrating the cathode, anode and merge units with the casting and unit cell assembly machine on what we believe is the world's largest multi-carrier system, or MCS, for short. 
 Let me provide some additional context about the unique characteristics of the SemiSolid process and our next steps at the CQP. Unlike conventional lithium-ion battery manufacturing, which involves producing electrodes from separate equipment before assembling them into cells, the SemiSolid technology employs a continuous and integrated process. The SemiSolid process starts with electrode coating and proceeds to electrode stacking. The next-generation SemiSolid and Unit Cell Assembly unit, which is the heart of the production system then creates independent unit cells, each containing a cathode, anode and separator. The subsequent steps required to produce a complete cell and a pouch, which is a stack of multiple unit cells have already been developed and validated on the SemiSolid platform. 
 As such, when we begin producing these unit cells continuously and with the full automation of next-generation casting and unit cell assembly, it will be a meaningful achievement for FREYR. And as you can see from the photos on this slide, we've continued to make and test cells at the CQP while we approach the final stages of automating the casting and unit cell assembly. 
 This next milestone is a step change on our journey to becoming a battery production company, demonstrating our ability to produce cells on a novel technology platform slowly and keep precursor to validating the SemiSolid manufacturing process. It's also an important step to prove our technical and operational credentials as an emerging partner of choice for our customers, alliance members and global network of vendors. They appreciate the acumen required to hit this next milestone, and we're grateful for their continued support on our scaling journey. 
 Now I'll turn the call over to Jeremy to discuss our ongoing business development opportunities. 
Jeremy Bezdek: Thanks, Birger. I'll begin on Slide 7. During our fourth quarter update in February, FREYR announced its 2.0 growth initiative. The strength of our balance sheet and the strong capability we have across the company are strengths that others across the value chain see as attractive attributes for a conversation. We continue to pursue opportunities related to this strategy and have focused a significant amount of time in the last couple of months, narrowing in on projects and priorities that both provide near-term revenue and cash flow as well as avoiding a negative impact on our current liquidity position. 
 We are now focusing on 4 distinct commercial and project-related opportunities. We have added one e-mobility development and commercial opportunity this past quarter while eliminating 2 of the previously contemplated projects related to the EV market in Europe. The current project list represents opportunities at multiple spots in the value chain, multiple end-use markets and project types ranging from a variety of greenfield projects to one potential inorganic growth opportunity. As these projects mature and become something that we can discuss publicly, we will look forward to sharing more information. All told, these growth opportunities create a real opportunity for FREYR to accelerate our journey towards fortifying ourselves as a Western leader in the lithium-ion battery sector. 
 Now turning to Slide 8. I also wanted to include a brief update about the Giga America site in Coweta County, Georgia. We continue to advance the conventional technology track, and we believe, as I mentioned last quarter, that this project will be the earliest path to market for scaled production. Simply put, the technological maturity and established supply chains with conventional technology create an acceleration that allows us to realize a start-up production date faster than we would otherwise have been able to achieve. With the IRA production tax credits providing such a significant opportunity and benefit to the project, it behooves us to move as quickly as possible to realize those benefits. 
 Over the next couple of months, our plan is to finalize terms with the technology provider, deliver previously discussed conditional and binding offtake agreements and refreshing and relaunching the project-level equity process, along with the debt side of the fundraising. We will provide full transparency into the project plan and the value opportunity over the succeeding weeks as those details get finalized. Related to Project Patriot, the 24M production track at Giga America, we continue to engage with the DOE and keep them updated on our progress. While we await results from the CQP, we are actively managing the appropriate level of project spend. 
 I will now send it over to Oscar to chat about the financial performance from the last quarter. Thank you. Oscar? 
Oscar Brown: Thank you, Jeremy. Moving now to Slide 9, optimizing our spending, I will review our recent financial results. In addition to the usual year-over-year comparison, we've added the previous quarter to the slide for ease of sequential quarterly comparison as well. For the first quarter of 2024, FREYR reported a net loss of $29 million or $0.20 per share compared with a net loss of $25 million in the fourth quarter of 2023, which is the sequential period and a loss of $13 million in the first quarter of 2023, which was the year-over-year period. The net loss in the fourth quarter of 2023 was impacted by a number of unusual items, including a $9 million benefit from the warrant liability fair value adjustment due to a decline in our stock price during the quarter, the reversal of annual bonus as the company chose not to pay cash STIP for 2023 in light of our restructuring, which lowered operating expenses, partially offset by the restructuring accrual, reflecting the downsizing of our workforce to better reflect the prioritization of our projects and the development versus operating stage of our company.
 In Q1 2024, we recognized higher depreciation expense than in 2023 and resumed quarterly accruals for the potential STIP awards that would be based on 2024 performance. These items can make sequential comparisons of our total operating expenses and G&A less intuitive. In any case, our cash G&A run rate has indeed come down with the reduction in force and refocus of our activities in 2024. As of the end of Q1 2024, we have reduced full-time employees by 20% and contractors and project support by 50% compared with November 2023. 
 Also as a reminder, the warrant liability fair value adjustment reflects a noncash gain when our stock price declines during any reporting period and a loss in our stock price increases. This item was nominal in the first quarter of 2024, but can vary widely depending on periodic movements in our stock price. The company reported increasing research and development costs in each of the periods highlighted as commissioning activities for the CQP intensified and we work towards this upcoming production milestone. We expect R&D spending will be lower in the second half of 2024 as we achieve the aforementioned goals in the first half. 
 While we have significantly reduced our annual cash burn rate compared with last year when all spending, including capital expenditures, are considered, we continue to seek opportunities to reduce unnecessary costs and activities to extend our liquidity runway beyond the 2-year target we have discussed in previous calls, before we raise additional financing to support our project activity. 
 We exited the first quarter of 2024 with cash and equivalents of $253 million and no debt, reflecting total cash uses in the first quarter of $23 million compared with cash uses of $52 million in the fourth quarter of 2023 and $88 million in the first quarter of 2023 year-over-year. Net cash used for investing activities, which is primarily capital expenditures and any related reimbursements, was $2 million in the first quarter of 2024, $19 million in the fourth quarter of last year and $67 million of the first quarter of last year. 
 Moving now to Slide 10. Optimizing our balance sheet. And focusing in on the cash waterfall for the first quarter, you can see that gross capital expenditures in the first quarter of 2024, which were $21 million, were mostly offset by other items, which included a $19 million reimbursement of deposits from our general contractor at Giga Arctic, reflecting the completion of the east and north buildings and therefore, the contract. No further significant net capital expenditures for Giga Arctic are budgeted for the remainder of the year and costs for utilities and maintenance to preserve the buildings are expected to be around $2 million per year. 
 Prior to any project-related funding this year, capital expenditures for the remainder of the year will be primarily related to the CQP and test center and will be much lower than last year as previously discussed. We continue to evaluate use cases for the Giga Arctic buildings and site, which could include its original intent as a Gigafactory, battery component manufacturing or other industrial activities. In addition, we have received unsolicited inquiries regarding a potential sale of the buildings to third parties. The book value of this 75000-square-meter asset is approximately $225 million. We will continue to actively evaluate the future of this asset with maximizing risk-adjusted shareholder value as our guidepost. 
 So our 2024 spending has been focused on getting to battery cell production at the CQP using 24M technology and the production activity necessary to deliver testable cells from the CQP to Nidec, the continued development of Giga America and pursuing a conventional license and project to accelerate our path to first revenues. Indeed, we are actively evaluating significant opportunities, which might marriage short-term investment but lead to longer-term capital formation on attractive terms in the near term. How the CQP Giga America and these other important opportunities develop might impact our spending for the year, and we will keep investors updated. 
 We have exited the first quarter with the company well positioned for the current environment. We've protected our balance sheet and extended our runway. We continue to pursue non-dilutive growth capital and are maximizing our project development opportunities while remaining vigilant on overall spending. We have a great team, a pristine balance sheet and a long list of opportunities across the battery value chain. 
 With that, I'll turn it back over to Birger for additional comments. 
Birger Steen: Thanks, Oscar. I'll conclude our prepared remarks on Slide 11 before we go to Q&A. We started 2024 with clear priorities to deliver on automated trial cell production, evolving a conventional technology track for the company, several promising opportunities to pursue and evolve and an imperative to conserve cash and generate capital formation alternatives. The result of these efforts is the updated 2024 road map you see on Slide 11. At the CQP, we're focused on commencing production of unit cells with a full automation of the casting and unit cell assembly. As I noted earlier, Mike, his teams and our partners have been working tirelessly prepared for this next milestone, and we're looking forward to sharing more news with you from the CQP during the second quarter. 
 In parallel with the important progress is the Asset Mo. Jeremy and his team have been working several promising deals behind the scenes, highlighted by the conventional technology opportunity. During the coming months, we intend to formalize the agreement, secure offtake agreements and relaunched the project equity and debt funding processes. As allocators of your capital, we believe that the conventional track for Giga America offers the greatest potential to accelerate the capture of the Section 45X production tax credits, so this project is a top priority. 
 In addition to coordinating with Jeremy's folks on the conventional opportunity, Oscar and his team have been working on several other capital formation initiatives tied to projects in the FREYR 2.0 growth pipeline. As we execute our strategy to accelerate our path to commercialization and first revenues, the capital raises associated with the highest value creation projects will take priority. 
 Turning to the second half of 2024. We expect to be in execution mode on live projects. For the conventional agreement, our focus will be on commercial development and capital formation to facilitate the potential Giga America FID. And finally, with the progress we expect to demonstrate later this year on our highest-priority projects, capital formation and commercial momentum should accelerate in tandem. We're looking in on some transformational opportunities, and we're excited to share news of our progress as 2024 continues. 
 Before I turn it over to Jeff for a start of Q&A, I'll once again thank our employees at FREYR for their commitment to our costs. We we're aspiring to do is far from easy, and you've navigated our scaling journey, the dynamic policy environment and the higher for longer interest rate backdrop with unwavering professionalism. On behalf of the FREYR Board of Directors and management team, thank you for all that you do.
 And with that, I'll hand it back over to Jeff, so we can take your questions. 
Jeffrey Spittel: Thanks, Birger. Dennis, we are ready to open up the line. 
Operator: [Operator Instructions] Your first question is from the line of Tyler DiMatteo with BTIG. 
Tyler DiMatteo: So on the CQP, I'm just curious here, as we get to the final stages and we move towards automated cell production, what are those key stages that are left that we kind of need to work through? Is it just simply testing, kind of making sure that the multi-carrier system and the process is working? I'm just curious if you can kind of help us understand what those final steps are before we can really start producing batteries here? 
Birger Steen: Yes. Thanks. As we discussed, the casting and unit cell assembly machine is a highly complex and version 1 piece of machinery. The thing we've accomplished so far this quarter is we've made it through the first and potentially most novel process and embedded in this machine. And that's the casting of anodes and cathodes. And we've been able to hand merge batteries made from those automated -- that automated production batches of cathodes and anodes and come out with initial test results that are quite encouraging relative to our original spec. 
 The bit that's remaining now, as you indicate, is the tuning of the multi-carrier system that ensures that the nodes from the top, the cathodes from the bottom and the separator meet in exactly the right place and with the right pressure and with the right vertical -- sorry, horizontal movement so that we end up with the appropriate tolerances for the final unit cell assembled and then divided and turned into something that can be stacked into a full battery cell with 23 of these unit cells. And that's sort of piece of precision machinery. 
 Again, what we understand from Festo and Siemens to be the largest multi-carrier system installed anywhere. Tuning that machine is what we're working on now. So we're thinking and we're expecting that we could be a few hours, a few days away from first successful fully automated casted and merged cells. And so I think it's not too much to say that we have 205 people here at FREYR, who are holding their breath a little every morning as we get our updates from Mark and his team. 
Tyler DiMatteo: Okay. Great. Really helpful on that front. And then on the battery components comments, realizing it's early days here, I guess just at the highest level, I mean what would an ideal opportunity look like in that side of the value chain? Or just how are you thinking about that? And kind of what would you look for? And just any color there? 
Birger Steen: As you know, we started out based on the unique advantages and characteristics of the 24M SemiSolid process as applied to LFP with a focus on the ESS space. That's also where we developed turn capability and partnerships, such as a partnership with Nidec, which is called Nidec Energy AS, which is there to make modules and packs. We also have advanced plans for further downstream product development. So I'd say somebody who's developing, say, grid storage or something that sits adjacent to a PV project, probably in the U.S., who likes the fact that our current cells are produced -- or our cells to be produced are produced on U.S. soil and would like to see that supply chain resilience and certainty for the next 10 years that you can get from a stateside producer, that would be our ideal downstream extension and customer for that extension. 
Tyler DiMatteo: Okay. And if I could just squeeze one more in here. On the 2.0, the growth initiative here, you kind of spoke to the 4 distinct projects. I guess, without getting into the details of those, how do they come about? I mean, how did you find them? And what was kind of the sourcing process there? If you can add any comments on that front? 
Birger Steen: Jeremy and I will have our conversation about this performance this quarter later on, but we will discuss how we describe that. But Jeremy, perhaps you could talk a little bit about how we went about developing and triaging and improving this portfolio. 
Jeremy Bezdek: Happy to do that, Birger. Thanks. And Tyler, thanks for the question. It's actually a varied process. We are always listening. We're always taking calls. We have a funnel approach as most do to evaluating alternatives, doing initial screening and then advancing those projects into real actionable opportunities. I would say that the current portfolio that we have and maybe the portfolio that we've actually screened out all came in slightly different ways. Some relationships that some of us have throughout the battery value chain, of course, are always important opportunities because you feel like you understand the opportunities to a greater degree by having access to both people and companies through a variety of means. 
 So I think that's -- it's using our relationships. But it's also been inbounds from off the shelf right from people that we don't know that see what we're doing, see our public position, see our balance sheet and the fact that we have no debt and are interested in talking to us about how we might work together. So I'd say some of it was kind of proactively outreach from us, but most of it was inbounds. And that's exciting because I think what it means is our messaging is getting out there that we want to be a partner of choice for folks and that they see us as a credible player that they want to work with. 
Operator: [Operator Instructions] And at this time, there are no further questions. I'll turn the call back to management. 
Jeffrey Spittel: Thanks, Dennis. Well, thank you, everyone, for the time today and your attention and your interest in FREYR. We look forward to seeing everybody out on the road as we get into the quarter, and we will talk to you all very soon. This will conclude the call.